Operator: Good day, everyone, and welcome to the Eventbrite, Inc. Fourth Quarter 2024 Earnings Conference Call. At this time, all participants have been placed on a listen-only mode. [Operator Instructions] And we’ll open the floor for your questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Katie Pickett. Ma’am, the floor is yours.
Katie Pickett: Good afternoon, and welcome to Eventbrite’s fourth quarter 2024 earnings call. My name is Katie Pickett, Investor Relations. With us today are Julia Hartz, our Co-Founder and Chief Executive Officer; and Anand Gandhi, our Chief Financial Officer. As a reminder, this conference call is being recorded and will be available for replay on Eventbrite Investor Relations website at investor.eventbrite.com. Please also refer to our Investor Relations website to find our shareholder letter announcing our financial results, which was released prior to the call. Before we get started, I would like to remind you that during today’s call, we’ll be making forward-looking statements regarding future events and financial performance. We caution that such statements reflect our best judgment as of today, February 27, based on the factors that are currently known to us and that actual future events or results could differ materially due to several factors, many of which are beyond our control. For a more detailed discussion of the risks and uncertainties affecting our future results, we refer you to the section titled Forward-Looking Statements in our Shareholder Letter and our filings with the SEC. We undertake no obligation to update any forward-looking statements made during the call to reflect events or circumstances after today or to reflect new information or the occurrence of unanticipated events, except as required by law. During this call, we’ll present adjusted EBITDA and adjusted EBITDA margin, which are non-GAAP financial measures. These non-GAAP financial measures are not prepared in accordance with Generally Accepted Accounting Principles and have limitations as an analytical tool. You should not consider them in isolation or as a substitute for analysis of our results of operations as reported under GAAP. A reconciliation to the most directly comparable GAAP financial measure is available in our shareholder letter. We encourage you to read our shareholder letter, which contains important information about GAAP and non-GAAP results. And with that, I’ll now turn the call over to Julia.
Julia Hartz: Thank you, Katie. Welcome to our fourth quarter earnings call. Before we dive in, I want to take a moment to welcome Anand to his first earnings call as our CFO. Since joining, Anand has already made a significant impact, bringing deep marketplace expertise and a disciplined approach to financial management. I’m excited to have him as a partner as we continue executing our strategy and driving long-term value. Welcome, Anand. Now let’s get into our fourth quarter and year-end results. The end of 2024 was about stabilization and we closed out the last quarter strong, delivering $76.5 million in revenue at the upper end of our outlook range and $6.5 million in adjusted EBITDA, enabling us to exceed our 10% margin target for the fiscal year. As a reminder, in September, we made a meaningful change to our pricing model by eliminating organizer side listing fees. This allows all creators to publish unlimited events without upfront fees. Since then, we’ve seen steady improvements in creator acquisition, event volume and ticket transactions. Total ticketing volume returned to growth, up 2% year-over-year in Q4. As we had anticipated, free ticket volume recovered faster, growing 8% in Q4, which was a 25% point swing from Q3, and paid ticketing trends improved sequentially from Q3 to Q4. Additionally, paid transacting creators and paid event volume improved. That momentum has continued into 2025. Looking at January’s year-over-year performance, both paid ticket sales and paid transacting creators improved over the previous month and ticket sales per creator also continued to strengthen. We’re now tracking five consecutive months of improving year-over-year paid ticket trends, adjusting for last year’s leap year impact. Another key driver of momentum is Eventbrite Ads, which continues to scale. Compared to last year, ads revenue grew 35% in Q4 and 83% for the full year with more creators investing in promotion to expand their audiences. Creators who used ads sold 4 times more tickets than those who didn’t, creating a strong cycle where better event discovery leads to more ticket sales and deeper engagement across the platform. With stabilizing ticketing trends, growing creator engagement, and expanding ad monetization, we’re confident in our ability to accelerate from here. Now I want to take a moment to frame how we’re thinking about 2025. We are guiding to a lower revenue range than last year, which may stand out at first glance, but to be clear, this is purely a function of structural revenue mix changes, not a reflection of weakening fundamentals. With the pricing changes fully reflected in our 2025 guidance, we expect to exit the year as a stronger, more scalable business in ticketing revenue and marketplace monetization. This is a year of transition, one that we believe will prepare us to scale efficiently and drive stronger growth in 2026 and beyond. Now we’re entering 2025 with momentum, as I mentioned, and that’s a direct result of our disciplined execution of a clear strategy. This year we’re sharpening our focus around three things, expanding our consumer reach, deepening creator engagement, and strengthening marketplace monetization. For consumers, we’re rolling out a redesigned Eventbrite app, making event discovery more immersive with video, social driven recommendations and enhanced tools for creators to showcase their events. We’re also launching HITLIST [ph] curated event recommendations from cultural tastemakers and brands to make finding great events easier than ever. And we’re also refreshing our brand to better connect with the next generation of Eventbrite users and drive greater awareness, engagement and retention. For creators, we’re doubling down on those who drive the majority of ticket volume. High volume creators accounted for nearly 60% of paid tickets in 2024 and were investing in retention programs, expanding segments like timed entry, rolling out Stripe point of sale at scale and deepening relationships with high value creators who drive consumers to the marketplace. Take the Detroit Auto Show for example, they recently returned to the platform and opted into our early access release of the integrated Stripe point of sale solution. They sold over 100,000 paid tickets to their event with a third of those sales processed in person at the event using this new extension of our platform with ease. They were thrilled. This is exactly the type of customer we want to serve. High volume event creators who rely on Eventbrite to power their growth. We’re continuing to invest in this segment by offering powerful new solutions centered around efficiency and reach, such as improving tools for audience segmentation, social integrations and data and insights to connect creators with their audiences. We’re also driving marketplace monetization through the continued expansion of Eventbrite ads by increasing adoption among high volume creators who already see strong ROI on ticket sales when leveraging promoted listings. We plan to enhance targeting and automation to increase advertisers efficiency and add new placement opportunities across the consumer journey to better connect consumers with the events they love. So while our revenue outlook reflects a shift in mix, it does not reflect a weakening of the business. In fact, we’re running a leaner, more efficient and more scalable company than we were a year ago. With five months of improving ticketing trends, growing adoption of Eventbrite ads and a leaner operating structure, we are executing against our plan for a stronger, more scalable business. Now I’ll hand it over to Anand to walk you through our financials and provide more detail on how we’re pacing towards these goals. Anand?
Anand Gandhi: Thanks, Julia. It’s a pleasure to be here with you today. I’ve just completed my third-month here at Eventbrite and I’m excited about the opportunity ahead. I believe we have the brand, the product, the strategy and the team to realize our vision of transforming Eventbrite into a vibrant two sided marketplace. And I’m looking forward to leveraging my background in scaling digital marketplaces to position Eventbrite as the go to marketplace for live experiences. At this time, my top priority is returning Eventbrite to pay ticket volume growth, while continuing to operate the business with financial discipline. I believe we’re on our way. The decisive elimination of organizer fees combined with strong execution are positioning us to deliver our fifth consecutive month of year-over-year improvement in paid ticket trends. Now I’m going to walk you through the numbers and what we’re seeing in the business. Note that in the following commentary, the comparisons I reference are all year-to-year versus 2023, unless I specify otherwise. Let’s first start with revenue and tickets. We reported Q4 revenue of $76.5 million, which was down 13% and was at the upper end of our outlook range. Ticketing revenue declined 10% to $70.4 million, primarily driven by paid ticket volume which continues to recover from the impacts of the organizer fees introduced in late 2023. Marketplace revenue declined 35% to $6 million. This decline was expected as a result of the loss of organizer fees, which was partially offset by the strength in Eventbrite ads, which was up 35%, reflecting strong continued adoption by Eventbrite creators. As Julia and I have mentioned, we’ve seen improved business trends since we eliminated organizer fees in September. And let’s walk through some of those specifics now. First, total ticketing volume was 72 million in Q4, which represents a return to growth as we had expected and was up 2%. This was driven by a strong rebound in freeze tickets, which is up 8% to $50 million. This represents a 25 percentage point sequential improvement from the 17% year-over-year decline we reported in Q3. Paid ticket volume totaled 21.6 million in Q4, also a 10% decline. Importantly, this represents an improvement in the year-over-year trends from Q3, which was down 14%. Transacting paid creators totaled $166,000 in Q4, a decline of 9%, which was also an improvement in year-over-year trends from Q3, which was down 12%. Now let’s turn to gross profit. In Q4, gross profit was $52 million down 15%. This reflects a gross margin of 68.2% versus 70.1% a year ago. This margin decline reflects the Q4 mix shift away from organizer fee revenue, partially offset by the continued growth in Eventbrite Ads. Now looking to expenses. Total operating expenses were $60 million in Q4, compared to $71 million a year ago. This decrease was largely driven by lower personnel cost due to the workforce reduction in Q3 as well as due to the absence of the annual performance bonus for the year 2024. Note that we have budgeted an annual performance bonus in 2025. Now breaking out OpEx. Product development expenses were $20 million in Q4, down 21% from $25 million, driven primarily by lower personnel costs. Sales, marketing and support expenses were $23 million in Q4, which was an increase of 10% from $21 million. This increase was driven primarily by increased chargebacks and fraud remediation expenses, partially offset by a decrease in marketing personnel costs and other expenses. General and administrative expenses were $17 million in Q4, down 31% from $25 million a year ago, driven primarily by lower personnel costs and by lower cost for third party professional services. Now we'll move to net loss and adjusted EBITDA. Q4 net loss was $8.4 million compared to a net loss of $900,000 in the same period a year ago. Adjusted EBITDA in Q4 was $6.5 million, compared to $8.8 million in the prior year. For full year 2024, reported adjusted EBITDA was $35.1 million, which included a net impact of $1.2 million in workforce reduction costs partially offset by legal settlement benefits. For 2023, full year reported adjusted EBITDA that was $28.7 million, which included restructuring and other costs totaling $10.1 million. Now turning to the balance sheet. Cash, cash equivalents and restricted cash totaled $465 million at the end of Q4, down from $531 million at the end of Q3. Excluding ticket sale proceeds payable to creators, the company's available liquidity at the end of Q4 was $230 million, compared to $237 million as of the end of Q3, reflecting 3 million shares repurchased during Q4. Total debt at the end of Q4 was $241 million. Managing our maturities of our debt is a key priority in the year ahead and we've made significant progress in Q3 with the repurchase of $120 million of our 2025 notes. Now turning to our outlook for the year ahead. First, looking at Q1, based on current information we anticipate net revenue for the first quarter of 2025 to be within a range of $71 million to $74 million with adjusted EBITDA margin in the mid-single digit percentage range excluding non-routine items. Looking at the full year, I'm going to walk you through how we are thinking about the model. It's important to keep in mind that 2025 will be a year of transition as we fully lap the multiple impacts of the introduction and then the elimination of organizer fees. Going forward, ticketing and ads will essentially comprise Eventbrite's revenue. We expect to see continued recovery in ticketing trends with paid ticket volume returning to growth in the second half of the year. Also, we anticipate Eventbrite Ads to continue to deliver growth throughout the year. Looking at our deprecated revenue stream organizer fees on a full year basis for 2025, we expect the elimination of this revenue stream to result in an approximately $20 million revenue headwind compared to 2024. As a result of these impacts, including the continued recovery in ticketing revenue and the elimination of organizer fees, we expect full year net revenue to be within a range of $295 million to $310 million. We expect an adjusted EBITDA margin percentage in the mid-single digits for the year excluding non-routine items. This decline in year-over-year margin is primarily driven by the loss of high margin organizer fee revenue. Now to recap and as Julia highlighted, 2025 is a year of transition. We believe the progress we make and the financial discipline we maintain throughout the year will enable us to scale efficiently and provide us a strong foundation for long-term growth. Now I'll turn it back to the operator.
Operator: Certainly. Everyone at this time, we’ll be conducting a question-and-answer session. [Operator Instructions] Your first question is coming from Naved Khan from B. Riley. Your line is live.
Naved Khan: Great. Thanks a lot. So two questions. One, maybe just talk a little bit about the TikTok partnership. Last time you guys gave an update there, it seems like you're getting pretty good volume but not a lot of conversion. Has there been any improvement in the conversion side of things? And then the other question I have is just around the annual outlook, Anand, so you guide it to a mid-single digit kind of EBITDA margin. And if I look at the top line outlook for the year, adjusted for the $20 million impact from the discontinued offering, it kind of compares to where you were in 2023, but back in 2023 you had close to, I want to say, 9% EBITDA margin. So why mid-single digit? Why not be in the high single digit sort of margin range?
Julia Hartz: Thanks, Naved. Our partnership with TikTok continues to be an important channel for driving event discovery and ticket sales, especially when you consider the strong engagement from younger audiences who are actively discovering and purchasing tickets to events directly through the TikTok integration. And overall, we will prioritize our distribution channels and integrations with places where people are convening communities, so where creators are organizing people around their niche interests and also where commerce is actively happening through contextual discovery. And with our partnership, we are focused on expanding discovery. So, obviously, TikTok helps our creators reach new audiences organically, especially in the categories that we are prioritizing music, nightlife and cultural experiences. We are working with them to put the native ticket integration into places like search, where you can more efficiently drive viewers and impressions to conversion. So still working on the conversion side, happy with the native integration, still think that we can make the ticketing more seamless. So we're working with their product team to cut down the number of clicks it takes to actually get that ticket. And from a risk perspective, we certainly saw some slowdown in their product partnership throughout the last maybe 60 days. But we believe that we have successfully diversified across multiple social discovery channels, including Google, Bandsintown, Facebook, Instagram. So that TikTok is, while it's a very important growth lever, it's one of many. So we are balancing our focus and our investment to be prudent and also to just follow the creator where they are and whatever they're doing to put the right event in front of the right consumer at the right time. And we are – they are now inactive, again, very active in building with us. Anand, do you want to take the margin question?
Anand Gandhi: Yes. Hi Naved. So, as we're looking at 2023 versus 2025, I believe in the guide for 2025. So 2023 did have $325 million of revenue and so – and about 9% EBITDA margin. And so a big factor there is really where we're guiding on revenue for 2025. And since we are taking account the $20 million reduction in organizer fees and that itself comprises say 600 basis points of margin compression, that's a big, that is – that piece in particular is one other big piece and there's some other puts and takes. For example, in terms of incentive bonus compensation, we did not pay that in 2024, but we do – we are budgeted for that in 2025. So that itself would be another 500 basis points of margin compression. Those together, plus if you just take into account a little bit of just scale and deleverage from ticketing revenue, which as we say we're returning growth in H2, which implies there will be some year-over-year decline in ticketing revenue this year. All those pieces compress the margin. So now we are guiding to mid-single digits EBITDA margin, despite the margin pressure that adds to over 1,000 basis points. And that is reflecting the financial discipline and cost controls that are a big priority for this year. Part of that is, we did do a reduction in force in August. We did see half of that benefit though last year. So the rest of it is really tied to how we're managing the business day to day and how we are very conscious of adding cost or only tied to revenue growth or controlling costs, reducing costs to make sure they're at appropriate level relative to revenue. So in our view with those big movements and those big headwinds on margin, we could have been from those two pieces just significantly worse year-over-year in margin comparison. But that's why we're guiding to mid-single digits this year. And again, these are dynamics that we feel are really part of this transition year. We're not going to be going through the situation of a $20 million decline in organizer fee revenue that is the highest margin revenue, right? So that is a one-time piece that we're lapping. By the end of 2025, we will have fully lapped that. And so start 2026 without that pressure, plus we will not have an issue hopefully of having a bumpy situation in terms of annual performance comp, right? And so you have those two pieces plus if you take into account the fact that where our cost structure is today and the fact that we do believe that we have very healthy staffing levels as we scale and as we end this year on growth. So in this year growth, both ticket revenue growth and starting the back half of the year, plus the sustained growth in ads. Those are really the ongoing piece of the business. So – and if you kind of try to set aside the deprecated piece that's basically gone away, that's the past. But if you look at ticketing and ads and how those are set up to grow. When we exit 2025, you have 2026 trajectory of growth with a lower cost base that we believe can contribute significant operating leverage because it does not need to scale to drive incremental revenue. You're setting yourself up for margin expansion, clear margin expansion as you see revenue scale. And that model we plan that is part of the model that makes us believe that long term this business has very high EBITDA margin potential because of the ability that we have to scale with operating leverage and the fact that we're not relying on external things like very expensive acquisition marketing and things like that to pay for growth. So altogether, we believe it sets us up for a good strong long-term margin profile despite this year of transition.
Naved Khan: Thank you for the color. Thank you, Julia. Thank you, Anand.
Operator: Thank you. Your next question is coming from Cameron Mansson-Perrone from Morgan Stanley. Your line is live.
Cameron Mansson-Perrone: Thank you and welcome to the earnings calls. I do have one question for you, but I'm going to start with Julia. Julia a great recovery in free tickets in 4Q, but I was wondering if you could help us think about how free ticket activity ultimately translates into revenue growth for the business. Is it important just in terms of growing kind of consumer brand and adoption over the longer term? Or is there a successful track record of kind of free creators or organizers developing into paid organizers in a way that we should view the free ticketing growth is kind of as more of a leading indicator for paid ticket volume to some extent. Any insight there would be helpful. And then second, on winning back creators in general, historically you guys have talked about the importance of frequent creators. I was wondering if you could unpack a little bit, what you saw with organizer fees and creators leaving the platform and more importantly what you've been seeing and winning back creators specifically with regard to frequent creators? Thanks.
Julia Hartz: Sure. Cameron, thanks so much for the question. You were driving ticket volume recovery through multifaceted approach focused really on creator retention, consumer engagement and marketplace monetization. And as you brought up, free is a big part and the first step of that recovery since we reintroduced the free tier. That's helped us win back creators and increase event supply which increases our consumer engagement. Things that I can point to there are Eventbrite discovery tickets being up 10% year-over-year is a healthy sign of us being able to match supply and demand no matter whether or not it's paid or free event. And so that 25 point swing on free tickets is to us very clear leading indicator that paid ticket volume will follow. And it does have to do with the virtuous cycle and the word of mouth of Eventbrite as well as our brand expansion. What gives us confidence in the consistent month-over-month improvement in paid ticket trends is – are those two factors that free ticket volume as well as the discovery driven ticket sales, but also the fact that we’re seeing paid transacting creators sequentially improve and we’re really seeing win back accelerate. And when we think about how we take these signals and make the marketplace recover as quickly as possible, we’re really focused on making sure that we improve event discovery and demand generation through things like the launch of our new consumer app experience, which enhances personalized recommendations and simplifies ticket purchasing and expanding Eventbrite Ads, which has proven to drive higher ticket sales per event. Those who use ads sell 4 times more tickets than those who don’t in our marketplace. And we’re impatient as I’m sure you are as well. And we – the first thing we had to do to recover is really to remove the friction from our pricing changes, rebuild, creator retention and event supply, which is already improving and scale consumer engagement through our product and marketing efforts. And we know that will increase not just total ticket volume, but importantly paid ticket volume. And we really expect this flywheel to fully regenerate by the second half of 2025 and lead to sustainable ticket volume expansion in 2026. And we’ve seen this over five consecutive months of improvement, and so there’s proof in the pudding, so to speak.
Cameron Mansson-Perrone: Got it. Any color on what you’re seeing with frequent creators?
Julia Hartz: Yes. Sorry about that. So frequent creators are returning to the platform in line with large creators. And I would be remiss not to point out that we’ve launched a core product feature focused on frequent creators, which is the ability to host timed entry events. We’ve been happy with the progress thus far. We launched in the U.S. and we now are expanding to Canada and we’ll expand to Australia and the UK within the year. With that brings a couple of key benefits to us, one is the content. So for example, we just went on sale with the Smurfs exhibition in San Francisco and RuPaul’s DragCon is coming back to the marketplace. And these are the types of events that our consumers want to buy tickets to and that drive traffic to Eventbrite. So first and foremost, the high quality commercial content that comes with timed entry. The second thing is that we launched with timed entry, the ability to consolidate the payout for the creator. And that’s a bit technical, but it’s a big change to our product and to the end-to-end creator experience. So instead of getting a payout on whatever schedule they’ve chosen for every event, they’re getting one account level payout, which just eases up their bookkeeping capacity and time. So it just makes it super easy for them to use Eventbrite as their operating system. And actually there’s a third, which is frequent creators and especially timed entry experiences are ripe for Eventbrite Ads and driving the value in that evergreen content to use Eventbrite to as a promotional channel and we’re seeing some really healthy adoption from frequent creators of our Eventbrite Ads product.
Cameron Mansson-Perrone: Got it. That’s helpful. And Anand, sorry, one for you as well. When we look at the 200 plus of available liquidity, you’re ending the year here with I know you mentioned near-term maturities being a focus this year, but I was wondering if you could comment big picture on how we should think about capital allocation evolving is that, should we expect you still have 50 million [ph] left, I think on the authorization, should we expect you to be less active from a share repurchase perspective, as a byproduct of focusing more on debt maturities or will it be balanced? Any color on kind of how you’re weighing those two uses of capital will be helpful.
Anand Gandhi: Hey Cameron, thanks for the question. So for the year ahead, we’re going to take a balanced approach to capital allocation, specifically with two priorities, managing our debt maturities and executing the share buyback program. So as you know, we repurchased 50 million of shares, 10 million of which in Q4. We’re authorized for an additional 50 million. And obviously we feel our shares are priced quite attractively. And so over time, we do expect to complete these repurchases. Looking at the near-term, we’re mindful of managing our maturities and we’ve made significant progress with the December 2025 repurchasing 120 million of that, just 30 million left. And we’re mindful of September 2026 maturities and we have multiple options available there. So we have a healthy balance sheet, strong cash position, a lot of options available for the 2026’s. So we’re just going to balance all that. But I think yes, long-term shares are attractively priced, so obviously completing that authorization is quite appealing. In the near-term though, we’re going to pay attention to these maturities and we’re still well ahead for the 2026’s. But we like the idea of taking a look – start kicking the tires earlier than we need to.
Cameron Mansson-Perrone: Understood. Thank you both.
Operator: Thank you. Your next question is coming from Dae Lee from JPMorgan. Your line is live.
Dae Lee: Great. Thanks for taking my questions. I have two. The first one in your letter you showed the marketplace flywheel with build loyalty on the consumer side. So I was curious to hear your thoughts on what loyalty means for Eventbrite and how you plan on building the loyalty given that you’ve historically been a more supplier or creator focused platform. And then secondly, on the – given your transition from a full fledged marketing or marketplace platform to Eventbrite that is relatively early in the transformation. Curious to hear like what surprised you the most when you first joined Eventbrite and where do you see the opportunity to drive bigger changes?
Julia Hartz: Thanks, Dae. Consumer loyalty and engagement is obviously a critical driver for our marketplace flywheel. And when we think about the most engaged and loyal consumers, we think of our monthly active app users. That we’ve grown app users, I think in Q4, up 17%, so we’re continuing to build that engaged audience and community of buyers. Why that matters is because once somebody has the Eventbrite app on their phone, typically they’re downloading it to get their ticket for an event. They’re actually logging about 2.5 times more sessions and orders than someone who’s just using Eventbrite on the web. And so while we want to convert all of our consumers into app users, we’re really focusing our consumer loyalty and engagement efforts on the app user to make the highest impact yielding investments with the most efficiency. And so what we want to do is drive higher repeat attendance fueling event demand. We want over almost half of the attendees on Eventbrite are buying tickets to multi-category events. So they’re not just going to music events in New York. They really come to Eventbrite because we have that breadth of opportunity in our marketplace and so we want to connect the dots for them faster. We also want to really be able to incentivize them and reward them and recognize them for sharing their event profile and their event graph, as it were through the app and really helping their community discover great events. And one of the ways that we’re leaning into curated content to drive consumer discovery is we’re launching a new section of the app called HITLIST [ph], which is really leveraging local niche interest influencers to create discovery lists and recommendations for consumers for particular events that are related to their interest. We see this functionality as something being one that we could open up to all users of the app to create their own micro lists of events that they recommend. So that’s just an example of what we’re thinking about as we engage consumers and really build loyalty through our work on the consumer app.
Anand Gandhi: And I’ll jump in. Thanks for the question, Dae. One thing I’ll also add, just to get back on Julia’s answer, just based on in my experience with marketplaces, this everything we’re seeing about building loyalty on both sides of the marketplace, specifically repeat behavior retention are as you know, for marketplaces, really gold like that is. That’s really the big drivers of flywheel and it is really gratifying. It’s really encouraging to see already we’re seeing better retention from creators, big creators, just since we eliminated organizer fees. Also we’re seeing already higher MAUs. So we’re seeing all those green shoots that are logical for building a strong, vibrant marketplace that has the flywheel in effect. So all those trends are there in the right direction. So that’s a good tie in to your question about my background coming from marketplaces and what I’ve seen here potentially been surprised right here. So I think – so for me actually, the opportunity to join Eventbrite and help accelerate the marketplace transition was the most compelling and exciting aspect here. It was immediately clear to me that Eventbrite does have a really compelling opportunity to become an even much bigger two sided marketplace than it is today. So Eventbrite, first of all, Eventbrite is close to two decades of cultivating deep relationships on both sides with the supply creators and the consumers on the demand side. And as a snapshot, there’s some stats that I think really emphasize that. Just since 2012 for instance over 2 million creators have sold tickets on Eventbrite. They’ve then had over 35 million events. They’ve sold over 375 million tickets – sorry, over 375 million consumers have bought tickets on the platform and over 2 billion tickets have been sold. So that depth of history, that broad reach and really it’s built such an ubiquitous brand is itself such an important foundation for a compelling two-sided marketplace. And so that is an advantage that, I would say, most companies striving to be powerful marketplaces except for the really big ones that are existed today. Those are numbers that anyone would be proud to be able to cite in their lifetime, right? And so – and just for reference points, I have seen companies build need to spend a lot of money to build powerful large scale marketplaces, but needing to do so for – in a very expensive way, because they don’t have that reach and they don’t have that history. And so then that sets up a company that you have to question whether you’re buying your growth and that’s not a situation fortunately that we have to worry about. Obviously, there’s already all those opportunities to grow more and tap into different marketing channels, but the fact is, this reach and this brand awareness is really powerful. Second, the company is in a leadership position in a large and growing market. And being the clear established leader in the space for mid-market events with the strongest product, the best tools for creators, that also sets us up well to continue to power this flywheel. And part of the flywheel then going back to the consumer side is the fact that we have all this organic traffic again. So you have all this organic traffic from the senior side. You have this loyalty built of over 2 million creators who have sold tickets on Eventbrite. We have all this awareness that’s also helping with acquisition. And you think about the fact that we have cohorts built in both on acquisition – both on the creator side and consumer side. And as we continue to improve acquisition for both side and retention to both sides, it leads to a really compelling story of cohorts that stack over time and help contribute to scale and operating leverage. So I guess the thing in terms of what I was surprised about coming here is really that the company with the current resourcing and with the current scale today has such strong foundations in place to capitalize on this transformation to standard marketplaces. And what I’ve seen in the past is usually – in the past I’ve seen often companies that are really starting much more from the ground up, much more where each kind of element in the marketplace is really struggling to gain traction. And the fact that that is not the case at Eventbrite is a tremendous advantage. So, yes, it’s really excited. All this to say, I’m really excited about and really passionate about the opportunity ahead of us.
Dae Lee: Great. Thank you for the detailed response.
Operator: Thank you. Your next question is coming from Hamed Khorsand from BWS Financial. Your line is live.
Hamed Khorsand: Hi. So my first question was just given your change in business model and all the restructurings you have taken in the past with the work, the headcount reductions. Do you need to grow headcount here? Are you efficient? Is there anywhere you need to spend more? Or do you have the business intact to just lever up from here?
Anand Gandhi: Hey, Hamed. Thanks for the question. So it’s actually a great question because we spent a lot of time thinking about our cost structure and really how to execute well financial discipline. And what we’ve done and what we’ve seen as we’ve dug into numbers is, we feel really good about where our staffing is today. And what we’ve done is really tap into how to reallocate resources and focus on having the strongest talent and keeping them here and allocating them to the areas that are most important to us. So for us, growth is not dependent on growing the teams. Growth is not dependent on having the right talent and allocating them – allocating those resources appropriately. And that’s what we’re spending a lot of time on. So that also is another belief why we have the opportunity to benefit tremendously from operating leverage. And again as we scale the real building blocks to build a high margin business.
Hamed Khorsand: And then my other question was going to be just from the standpoint of what are you putting behind as far as getting those high volume creators back, especially with your competitors trying to lock them down? Do you have to spend more? Do you have to offer a lot more money? What do you have to do to get those creators back?
Julia Hartz: Thanks, Hamed. I’ll take that one. So since reintroducing the free tier in September, we’ve seen stronger engagement and reengagement with creators. You’re definitely confirming that our pricing reset is working and we’re not just seeing creators return, we’re seeing them actively reengage and sell more tickets, because since they’ve been gone, we’ve created even better and more effective marketing tools such as premium email marketing, paid social advertising and of course Eventbrite ads or promoted listings. On the sales driven front, we’re seeing success across the music category, which is a key driver of repeat ticketing and consumer engagement. It is also the most competitive space. Many creators in this space have reactivated their event ticketing on Eventbrite while using again coming because they’ve – we start the conversation, we reengage them, we’re taking a very targeted and aggressive approach to make sure that they understand where we have improved our not only our platform and tooling, but also our service. And I think we’ve really honed a much more efficient, but focused and successful account management strategy for our high value customers. Take elsewhere for example, one of – it’s one of New York’s most prominent independent music venues. We partnered with them when they opened their doors and they left Eventbrite’s platform during COVID about three years ago. After being with a competitor, they returned to Eventbrite and they cited our audience reach. So undeniably, the fact that being on Eventbrite in the marketplace drives more tickets for them on any given night. Our discovery capabilities, so how they can use Eventbrite to amplify their show schedule and the marketplace strength, again, connecting the right consumer with their right show at the right time and how stable and consistently reliant our platform is. They draw nearly 300,000 attendees per year and they’re a lighthouse for nightlife on the East Coast. I think we’ve seen some really positive things through sales. Year-over-year bookings are up strong again in music and nightlife and food and drink. We’re seeing the team really start to reengage again very specific customers that have left the platform that we want back on the platform. And I get – and what I would say is that it’s about knowing the right customers that are going to drive consumer engagement and activity in the marketplace and then really convincing them by showing them that we can drive more demand for them now than we could ever before and really showing them the value of Eventbrite’s product as it continues to get better and better. So I would say, it’s going to be an uphill climb as is with any competitive environment. But I bet on Eventbrite all day long, we have the momentum, we have the reliability in the brand, we have the breadth and we have the power to really help people expand their businesses.
Hamed Khorsand: Great. Thank you.
Operator: Thank you. That completes our Q&A session. Everyone, this concludes today’s event. You may disconnect at this time and have a wonderful day. Thank you for your participation.